Operator: Thank you for standing by, and welcome to the OFX Group Limited FY '26 Half Year Results. [Operator Instructions] I would now like to hand the conference over to Mr. Skander Malcolm, CEO and Managing Director. Please go ahead.
John Malcolm: Thank you, Kaley, and thank you, everyone, for joining the call. As Kaley mentioned, I'm joined by Selena Verth, our Chief Financial Officer; and Matt Gregorowski from Sodali & Co., who leads our Investor Relations program. Selena and I will take you through the pages, and then there will be time for Q&A. The presentation will cover 6 sections: our mission, performance update, the 2.0 transition, our financials, the strategy execution and our outlook. And then we'll have time for Q&A. So let's move to Slide 4 in the pack. And I want to start the presentation by being focused on our mission, which is simpler financial operations, helping businesses thrive globally. I start here because we must be very clear with our investors, our employees and our clients about what we're trying to do. It may sound obvious, but it matters a great deal as we navigate the transition from a company that did one job very well for both corporate and consumer clients, which was making cross-border payments to becoming a company that does several jobs very well for our corporate clients to make their lives simpler and in turn, help them thrive. We've laid out this strategy before, and I'll revisit it today to ensure we are aligned on what guides our investments, our decisions and our pacing. So why this mission? Moving to Slide 5. This mission is built on a huge opportunity around USD 66 billion of revenue and the fact that we are well prepared to capture it. Firstly, by expanding the number of jobs we can do for clients, we nearly doubled our TAM from USD 34 billion to USD 66 billion. Secondly, we often get questions from investors about competition, but the research we conducted and the evidence we see is that most of the opportunity sits with SMEs who work with banks. Depending on the market, the research suggested between 77% and 80% of clients who need the products and services we provide are trying to get them to banks. Yes, there are non-bank competitors, but the real prize is still largely with the banks who are less nimble and less customer-centric. And we believe we can be sufficiently differentiated from the non-bank competitors to take a reasonable share. Thirdly, the research showed that just over 3 in 4 of these clients are willing to switch away from banks for the right combination of products and services. That hugely encourages us to invest and compete. And finally, if we do our job well and we win these clients, the extra revenue available per client is material, which is over 40% versus our existing model, which makes the return significantly more attractive. So in summary, whilst our mission and strategy have evolved, our target of strong and sustainable growth has not, and we have found a faster and more effective way to deliver it. Turning to Slide 6; we have a very clear path to unlocking this opportunity as well as a very clear goal, which is 15% net operating income growth fiscal year '28 at around 30% underlying EBITDA margins, and we are executing to achieve that. Part of what will drive that NOI growth is non-FX revenue, which we expect to be at least 10% of all fiscal year '28. We know who we're targeting. We know which products and services we can provide to them to make their lives simpler. We have the platform in place in all our major markets and soon in all our markets to make it happen. And we have the infrastructure beneath the platform, our licenses, our banking support and our teams to make this work at scale and globally. We are investing and executing this way based on considerable research, our client experience, our knowledge of the industry and over 25 years of being in this space, and that is what underpins our conviction. Moving to Slide 8, I'll now share the performance of the first half. We delivered NOI of $105 million and underlying EBITDA of $14.5 million. This was a disappointing outcome and certainly below our expectations, and I'll walk through some of the reasons on the next slide. Our NOI margin was 55 basis points, around 4 basis points lower than first half '25, primarily driven by lower margins in North American corporate clients, where we took pricing actions to retain at-risk clients. Our business continues to generate healthy levels of cash with net cash held for on use of $47.1 million, up 2.6% versus the prior corresponding period. Selena will cover cash and cash generation later. We're pleased with the average revenue per client at $4,100 remaining steady through the first half and the non-FX revenue of $0.6 million. Although this was down on PCP, the cause of that a vendor switch was addressed, and we saw revenue grow just under 24% from the first quarter to the second quarter. Moving to Slide 9; we've seen a difficult macro environment affect the confidence of our corporate clients, which has seen them reduce their ATV by 9% from the first quarter to the second quarter, and that largely drove the drop in NOI. Business confidence indicators in all our major markets are below their long-term mean and they are generally not improving. We did see some strength in ATVs in the U.K. and Europe, but this was driven by a few large transactions rather than persistent strength. Encouragingly, our clients remain engaged with us with transactions up 5.7% on prior corresponding period, as you'll see on the next slide, and transactions per active client growing for the third quarter in a row and a healthy CAGR of 11% since the beginning of fiscal year '24. Moving to Slide 10; this is a view of our three main segments: corporate, enterprise and high-value consumer. Corporate revenue was disappointing, down 5.7% versus prior corresponding period, however, up 2.3% versus the second half '25. Within that, the U.K. was the bright spot, growing at 4.6% versus prior corresponding period of some healthy large client wins. Enterprise continues to grow strongly, up 47.7% versus PCP and up 27.5% versus second half '25. The momentum here is largely a function of the excellent support we're providing our clients, the growth in their own businesses and the increasing revenue we're earning from clients we've onboarded in the last three years. In High-Value Consumer, revenue fell 11.3% versus PCP and 8.7% versus second half '25. This is a substantial decline and was driven by unusually quiet market conditions. With volatility, which is typically a key driver of our clients' behavior being very low. In the first half, we only saw 15 days of volatility. And within that, the second quarter, we only saw 1 day where the U.S. dollar AUD moved outside our normal range compared to the 15 to 20 days that we would normally see in a quarter. Later, I will share how we will stabilize and grow this segment. Moving to Slide 11; we've been working very hard to stabilize and grow our corporate active clients. So it's encouraging to see progress. Overall, corporate active clients, including OLS, fell by around 700 in the first half, the lowest rate of decline in several years. We exclude OLS, given we are no longer originating OLS, we actually grew active clients in roughly half the number of weeks in the second quarter. The improvement in corporate, excluding OLS, has been driven mainly by NTCs or New Trading Clients as lapse rates have been slightly higher, but offset by an increase in reactivation. Importantly, of those that have lapsed, more than 2/3 have been low-value corporate clients. As I mentioned earlier, the corporate ARPC was steady in the first half, but the growth in non-FX revenue is encouraging, and this will support growth in ARPC over the medium term. Moving to Slide 13; we're very encouraged by the progress we're making in transitioning to 2.0 and the growth in non-FX revenue we're seeing. We've seen strong client uptake of our new products and services. Card revenue, subscriptions and the Payback card feature all grew in the first half, up 23.8% quarter-on-quarter. Overall revenue was down versus prior corresponding period as we had to switch off the Pay by Card feature during the first quarter, but it rebounded in the second. We're confident this non-FX revenue will continue to grow at a healthy rate as we complete our corporate migration and continue to grow NTCs. This quarterly growth rate has us well on track to achieve our goals of non-FX contributing 10% of NOI in fiscal year '28. As we mentioned in our trading update last month, we migrated just over 39% of our existing corporate clients during the first half. October and early November have been very busy, and we're now just under 60% complete. The migrations have gone well, both technically and from a client experience perspective. Card spend is healthy and cards continue to get issued and activated. Subscriptions are strong and clients are growing balances faster than expected. As at the end of October, we have $138 million in balances, and it continues to grow. And note that the interest from balances is not included in the non-FX revenue. Turning to Slide 14; when we embarked on the transition, a good migration was and is absolutely key to retaining clients and growing our NOI over the short- and medium-term. So it's very encouraging to share some of the key trends that we track. As a first goal, we must retain clients through migration and grow their ARPC post migration. Progress in migrating clients is good with almost 50% of clients from our major markets migrated by the end of the first half, and that figure will be close to 80% by the end of the third quarter. Given we're offering these clients the simplest version of the new platform, i.e., Free with Wallets, it's very encouraging to see them use wallets and do FX transactions as a first step. Wallet balances are growing very well, as I mentioned, and FX transactions are also healthy, but clients activating they are ahead of their pre-migration levels. In terms of ARPC, pre-migration, we were seeing ARPCs of around $4,100. And whilst it's still early for many migrated clients, given that, for example, of the 39% of corporate clients that were migrated, only 7% were migrated to the full first half. And in Canada, migrated clients only had between 1 or 2 months on the platform. But we're already seeing healthy ARPCs across migrated clients in both Australia and Canada. Moving to new product adoption. In Australia, nearly 4% of migrated clients have taken up a second product despite our primary focus being on successful migration and FX usage. Whilst that may seem low, it's largely because we deliberately focused on just wallets and FX for these clients thus far. One cohort of Australian clients who self-identified as wanting to see the additional features and products have been very active with over 50% of them already taking up additional products. In terms of new clients, ARPC is below what we saw in the 1.0 model as we've not been targeting FX in our marketing, but uptake of additional products is very encouraging with just under 16% of all new clients in Australia taking up additional products. We're confident that the ARPC from these clients will grow over time as the experience in cards tend to suggest usage builds gradually. Interestingly, in the U.K., we've already seen some very large FX transactions with new clients and clients are already self-serving with our new digital forwards. So we know we can grow FX and non-FX as well as secure large ATV transactions on 2.0. Turning to Slide 15; our solid progress and results on 2.0 have been underpinned by good execution. Alongside migration, our product and technology teams delivered 80 new products, features or services in the second quarter alone. That is incredibly encouraging for us as a team as we know we can bring better client experiences to life quickly and cost effectively. Put that in perspective, two years ago, we had 8 large teams doing one deployment every two weeks, which was about 26 releases a year. Today, we have 18 small- to medium-sized squads delivering over 200 deployments a week. On the right is our timeline to complete the migration. We expect to have around 80% completion in our major markets by the end of Q3. In terms of new launches, all major markets are now live, including most recently the U.S. So a lot of execution and a very promising future. Now let me hand over to Selena to walk us through the financials.
Selena Verth: Thank you, Skander. Moving to Slide 17, our financial results reflect a period of softer trading, coupled with a deliberate increase in investment to accelerate our transition to OFX 2.0. Fee and trading income was down 4.7% to $109.1 million, reflecting the ongoing macroeconomic uncertainty that continues to dampen business confidence. This softness was seen across most regions with APAC down 6.2%, North America down 7.5%, while EMEA saw a modest increase of 1.9%. Our net operating income or NOI was $105 million, which is down 5.6% versus PCP, but represents a 1.2% increase on the second half of fiscal year '25. The NOI margin contracted by 4 basis points, 3 basis points was due to the lower pricing in North America, which Skander mentioned and 1 basis point on the higher value consumer transfers. The NOI margin is up 1 basis point on the second half '25 as we build back up margins in North America. As we invest for growth, underlying operating expenses increased by 10.2% to $90.5 million, which I will detail on the next slide. This planned investment, combined with the soft trading environment resulted in an underlying EBITDA of $14.5 million. Depreciation and amortization continued in line with our ongoing investment in client experience in our platform, leading to an underlying EBT of $1.5 million. We have an effective tax gain as our R&D credits accumulated in the period and can be carried forward for future use in future. Our balance sheet remains solid with net cash held at $75.4 million at the end of the half. Moving to Slide 18, you will see the composition of our increased operating expenses. We are making targeted investments to deliver our 2.0 strategy to accelerate growth while also identifying productivity savings through the organization. Employment expenses, our largest cost category, was up 8.9% versus the prior corresponding period. This was driven by an addition of 19 full-time employees, primarily in product, marketing and frontline roles to execute our growth strategy. Promotional expenses increased by 5.3% as we supported the accelerated launch of our NCP in Canada and EMEA, which helped drive the 11.8% growth in corporate NTCs. We have invested in account-based marketing and our new websites are live for our major regions with the U.S. site going live last week. Bad and doubtful debts were $3.2 million for the half. While this is an increase on prior periods, it relates to a very small number of incidents. We're actively pursuing recoveries and have strengthened our risk settings and controls to manage this closely. We've not seen any material bad debts in the current quarter, and we do not expect the bad debts to repeat at this level in the second half. Longer term, as more clients migrate to NCP, these risk controls will improve further as the platform provides us with better technology and more optionality for setting client specific [indiscernible]. Turning to Slide 19; this investment is creating a path to growth and a better longer-term return. We committed to accelerating investment in fiscal year '26 of between $16 million and $24 million in OpEx and approximately $5 million in CapEx. As you will see, we are about halfway through this investment. Our delivery is executing better than ever. And as a result, we have lowered our full year CapEx guidance to be between $20 million to $21 million. Productivity initiatives are delivering the same road map with less resources. The investment in driving promising returns with an 11.8% growth in our corporate ex-OLS NTCs and our non-FX revenue is building momentum with $600,000 generated in the first half and quarterly growth of 23.8%. This progress gives us confidence that these investments will generate superior returns. We are targeting an underlying return on invested capital of 30% in fiscal year '28. Moving to Slide 20. Our balance sheet remains strong with healthy levels of cash to support our growth ambitions. The business continues to demonstrate excellent cash generation with an operating cash conversion rate of over 100%. Our underlying EBITDA of $14.5 million converted to a net cash flow from operating activities of $16.5 million, supported by the timing of expenses. Our net cash held position is strong at $75.4 million. After deducting our collateral and bank guarantees, the net available cash position is $47.1 million. This is up $1.2 million on last year and down $3.9 million from the March full year '25 results. We have self-funded our accelerated growth. The reduction in net available cash is due to repayment of debt, which now stands at $18.5 million and the buyback of 2.3 million shares for $1.9 million during the half. Our strong balance sheet and cash flow provide the foundation for us to invest in our accelerated growth strategy by continuing to look for productivity wherever possible. I will now hand back to Skander to take you through our strategy, execution and outlook.
John Malcolm: Thank you, Selena. Now let's move to Slide 22 to walk through what we're doing to bring the next phase to life. Alongside strong execution, we've been working very hard to bring to life the three elements that will create growth in our model, our value proposition, our go-to-market and our operating model. Firstly, as previously mentioned, our value proposition is now much broader and more compelling. We've evolved from being a focused FX provider to supporting businesses with a wider range of needs, helping them simplify their financial operations. Our marketing and product teams have done a huge job in completely reorienting what success looks like for our clients. And our platform has been configured and launched in every major market to accelerate our transition. Secondly, our new go-to-market model is up and live in every major market. Roles and pipelines have been redefined and new software deployed. We're already seeing great progress with double-digit growth in corporate NTCs. Finally, we also reorganized our corporate structure to more closely resemble the new company that we are becoming. Commercial teams now focus on a single segment with a global leader for B2B and a separate leader for B2C. We also combined product and marketing into one growth organization to drive speed and consistency. And we moved the payments team out of operations and into finance and refocused the remaining operations teams who are all customer-facing into a single customer function. These changes took effect on October 1 and are already working well. For clients, our teams are more focused and provide better products and services. For employees, they get faster decision-making. And for shareholders, it's cost neutral and positions us for faster growth. Moving to Slide 23; during the half, we completed a strategy review of the high-value consumer segment and identified a clear path to stabilize and grow it. Our focus will be on clients and prospects who make larger value consumer transactions, clients we know well and consistently rate us highly. We will acquire them through partnerships, primarily targeting the wealth and professional services use cases. Our competitive differentiation will remain our digital plus human service delivery and partnership referral model, which is unusual in our industry where most consumer firms go direct. We will leverage the new client platform's product and platform capabilities so our clients benefit from the same programs, and we will use the same go-to-market approach to find new partners, and this will drive synergies across the platform. We plan to execute this migration in fiscal year '27 with no incremental CapEx to what we have previously guided. We are already working hard on the value proposition, the launch and the migration plan, and we will provide more detail on that when it is finalized for our fiscal year '27 outlook. Moving to Slide 24; like most companies, we have been busy building and executing our AI capabilities, and we've made good progress. Firstly, we're very excited by AI's potential and know it will be transformational for OFX. We have started with the foundations, good governance, well-organized data, modern architecture and security and much of that is now complete. Concurrently, we've been deploying it across a range of internal use cases, largely to drive productivity so far. Over time, the real value driver will be making AI central to the client experience and the product road map. The team already has a very exciting plan, but they insisted, I do not share it yet. What I can say is our clients are already seeing the benefits of the simple things like AI-driven expense allocation, but what we have planned will be significantly more value accretive. Moving to our outlook on Slide 26; we remain committed to our medium-term outlook, which is to generate at least 15% NOI growth in fiscal year '28 with underlying EBITDA margins of around 30%. In second half of '26, we're targeting NOI growth to be higher than second half '25. We will continue to execute the plan that we shared back in May, which is to invest to accelerate our transition. As we stated in our trading update, we're managing OpEx and expecting it to be between $173.7 million and $181.2 million for fiscal year '26. Because our execution is strong, and as Selena mentioned, CapEx will be in the range of $20 million to $21 million in fiscal year '26, not just under $24 million as we originally forecast. We have not yet completed planning in detail for fiscal year '27, but we can say that the consumer migration and launches will happen [ within our ] incremental CapEx to what we previously guided. And as we previously stated, OpEx and CapEx will be similar to what we are seeing in fiscal year '26. But before I hand back to Kaley, I want to reiterate that both management and the Board are very confident in the strategy. The execution remains good, and we are determined to combine these into a great outcome for investors. Thank you, and I'll now pass back to Kaley to handle Q&A.
Operator: [Operator Instructions] Your first question comes from Michael Trott with MST Financial.
Michael Trott: Consider that you guys are going hard at the investment over the next 12 to 24 months. But just with the short-term weakness, in NOI also flagged and then also your current underlying EBITDA margin of roughly 13%. Can you just provide some color on when you're expecting a step change in this margin, especially with the, I guess, realization of the FY '28 30% target?
John Malcolm: Yeah. So what I'd say, Michael, is in the short-term, we're very, very focused on driving up NOI, and that will be the thing that underpins margin expansion. But at the moment, we're not guiding to that. We are working exceptionally hard to create it. And as we've said in the second half, we're just targeting growth in NOI second half '26 over second half '25. But in the short term, any margin expansion will be driven by top line growth.
Operator: Your next question comes from [ Scott Nelson with Nelson Capital ]. We might just move along to the next questioner in the queue, Cameron Halkett with Canaccord Genuity.
Cameron Halkett: Just two, please. Around the incremental OpEx guidance you've further reiterated there. Selena, can you just remind us, please? I think there was a bit of confusion back at the last half. Is that swing between the incremental $16 million to $24 million effective in bonuses relative to how the business performed in the second half, please?
Selena Verth: Yeah. So the range on OpEx is largely due to the range on what the STI outcomes could be because STI is 60% financial, 40% nonfinancial -- financial metrics do assume growth. So obviously, depending on how the financials play out, that can range on your OpEx. Now that being said, if you look at the first half, the bad debt was higher than we wanted it to be. We've done a lot of changes and controls. We don't expect that to repeat in the second half, and we'll be looking at any productivity savings that we can get to make sure we offset those costs as well.
Cameron Halkett: Yeah. I guess just turning to the comments and some of the disclosures just around sort of funds that have been loaded on to the cards and references to cash balances. How is that tracking relative to your initial expectations that sort of get the feeling that that's higher than perhaps what you were expecting?
Selena Verth: Look, the cash balances are relatively hard to predict. We really like what we see. Obviously, we're seeing balances in all regions as customers come on board. We do make some interest out of that. You would have seen our interest revenue for the half was flat half-over-half this half versus last half, but that's given also that there's been two rate cuts in the last half. So we're actually outgrowing the rate cuts at the moment, slightly outgrowing the rate cuts at the moment with those building cash balances. So we like what we see. We're seeing in all regions, and we are encouraged by the growth.
John Malcolm: And maybe just to add to that, Cam. As we look at the cards themselves, a couple of encouraging statistics or trends relative to our own expectations. First of all, the proportion of cross-border usage is a bit higher than we were expecting, and that's good because generally, they attract higher levels of interchange. And I'd say the second thing is we're also seeing clients using cards for a range of different use cases, which, again, is really helpful. And there is a somewhat kind of symbiotic effect there with the balances that Selena mentioned because typically, for example, here in Australia, people are putting balances on to -- in their wallet because they want to use the cards for domestic transactions as well as international transactions, and that would suggest a more engaged client. So it's certainly encouraging.
Selena Verth: Yeah. And just last one. When I look at Slide 13, the sort of composition of sort of what you're seeing there around card, Pay by Card and subscription and other. When you look at the sort of second quarter '26 breakdown, let's just for simplicity call [ it a third ] equal. Any comments you can make around more of an early adopter of the card selection where that mix of revenue composition might be, say, more weighted to card and Pay by Card than subscription, just to help people understand the expected contribution and mix over time?
John Malcolm: Yeah. I'd say, Cam, our general view is it's still very early days. What's actually happening is -- if we look at new clients, we're seeing a pretty good uptake of cards. We're seeing a pretty good uptake of subscriptions, particularly, I would say, in Canada relative to our expectations. And so that's pretty good. From an existing client perspective, we've been very, very careful in making sure that the first thing that migrated clients do is reactivate their accounts with FX. So it's still, I would say, quite early to say, okay, we're seeing some pretty clear trends in terms of that non-FX revenue. But at an overall level, the growth rate is encouraging in each of the categories. And what's also coming online really, I would say, scaling in the third quarter and beyond is really our product marketing efforts. To-date, we've been, as Selena mentioned, recruiting for those roles, putting in place some pretty basic product and marketing programs to get ourselves ready for that, and then we will start to increase our efforts in this area, which should then drive more of the non-FX revenue over time.
Operator: Your next question comes from David Kingston with K Capital Group. Your next question is from Olivier Coulon with E&P Financial Group.
Olivier Coulon: Can you hear me okay? So you mentioned on the intro that you were seeing growth in -- the revenue per transacting client on a same cohort basis. And I think you mentioned that there were 7% that were there for the full half that had migrated. I don't think you actually mentioned a specific growth number. Is it possible to share that on that same cohort basis?
John Malcolm: Yeah. We've talked in the past around kind of FX growth for those pre and post at around 5%, and that's kind of what we're seeing. We just wanted to point out that a lot of the migration happened candidly in the second quarter. So if you look at, for example, Canada, I think something like 20-odd-percent had even 60 days on the platform. But they've been migrating across well. It's really mostly Australia, where they've had, as you mentioned, the 7% for the full half and those FX -- that FX growth is around the 5% range.
Olivier Coulon: Yeah. And that's absolutely not kind of relative to the rest of the clients because I guess Australia had a pretty tough half, right, in terms of corporate revenue per client.
John Malcolm: Yes.
Olivier Coulon: Yeah. So is there any reason to think that Australia should -- like that those clients wouldn't have had the same sort of underlying trend maybe during their revenue growth?
John Malcolm: I'd say on that one, Olivier, is that what we're seeing is they're picking up the fact that they can use a wallet, and they're using the wallet for cross-border for some smaller value transactions, some larger value transactions. They appear to be feeling like the wallet is a step up relative to the prior value proposition. But again, I would say it's still -- which is very encouraging. Let me make that plain. But I would still say the bigger job to do for that cohort and for the corporate active clients more generally is getting them comfortable also to see the opportunity on non-FX, and that's really where the third quarter and beyond will take us.
Olivier Coulon: Yeah, okay. But it's fair to say that, that uplift that you saw from those -- from that small cohort who is kind of directly comparable, that was primarily from actual increased transaction activity. Yeah, as opposed to ATV or anything like that?
John Malcolm: That's right.
Operator: [Operator Instruction] Your next question comes from [ David Kingston with K Capital Group ].
Unknown Analyst: Anyway, thorough presentation, so thanks for that. Look, I've just got a few macro comments, Skander. Look, sadly, at the moment, OFX has lost the confidence of the stock market. The market capitalization is $130 million, which is an enterprise value of $100 million when you adjust for the net available cash of $47 million and deduct the debt of $18 million. So enterprise value of $100 million. In the past 14 months, OFX has burned 75% of shareholder value, $2.30 down to $0.57, down $400 million. Look, on the positive, OFX still has substantial NOI of $105 million for the first half albeit with the increased OpEx for OFX 2.0. Obviously, the NPAT has been smashed at around about 80%. Look, I'd also note, Skander, that as well as the past 14 months being ugly, OFX floated in 2013 at $2. And it's pretty concerning that 12 years later, when some of the competitors have shot the lights out, OFX is less than 1/3 of the IPO price. So really, I've just got a few macro questions, Skander. Playing Russian Roulette with the substantial increase in OpEx of OFX 2.0 or can you reverse the huge $400 million loss of shareholder value in the past 14 months? Secondly, is OFX too small and is the Board and management to corporate and lacking the corporate savvy to compete with the more dynamic and entrepreneurial Airwallex and Wise? And finally, just be grateful if you could provide some insights into is the Board proactively considering a sale to another corporate with synergies or to private equity? Like I think it's fair to say that at the moment the fair value of OFX should be way, way above the current $100 million enterprise value. But certainly, shareholders at the moment Skander are concerned that the ongoing loss of shareholder value as represented by the share price anyway.
John Malcolm: Alright. So I think there were three questions. Look, in terms of the EV and the OpEx -- one analyst said to me once, which I think is absolutely right is the market can't value no growth. And so the EV is really a function of the no growth. If you look at, as you pointed out, underlying NOI, it hasn't changed that much, certainly not as much as the EV has declined. The OpEx has really been invested with a lot of research. I mean, effectively over two years' worth of research, market experience, customer signaling all over the world. So it's not Russian Roulette, which would suggest a random allocation. It's been very, very carefully studied before that investment. And the Board and management are working exceptionally hard on all of the factors within that OpEx, as Selena mentioned, whether it's product, software, commercial people to drive growth because ultimately, that's what the market and investors will rate in OFX, and we're very clear that the best way to generate growth is through the investments that we've made. On your second question, look, I can't comment on some of the private companies. All I can do is to say to public company investors, what you get with this management team and this Board is a very mature risk management and governance framework. You have global experience, which in a somewhat uncertain and risky world, and we've seen a lot of examples in the last few years, which I talked about a lot just in one space, for example, is around the rise of fines, AML fines that investors can rely on in terms of our oversight and management of those. And certainly, if you look at the kind of corporate experience inside the company, there's a blend of certainly some corporate skills, but there's also a group of folks who've done a whole range of entrepreneurial activities as well. And the answer to the third question is no, we're not actively engaged or strategic on a sale of the [indiscernible].
Unknown Analyst: But just one follow-up there, Skander. In the context of in the last 14 months, your 3,000 shareholders, Skander, have lost $400 million of shareholder value. It's got to be telegraphing some flashing yellow or maybe red lights. You're going out here competing with some whales. NOI is declining, margin is collapsing because of the extra expenditure. I hope that you and the Board are properly considering the value of your shareholders who have been absolutely punished in the past 14 months. It's already [indiscernible] to get reports from outside people and to -- as I said, your presentation is very thorough and professional. But at the moment you're losing the battle on behalf of the people that you're representing who are the shareholders who have been punished in the past 14 months. But anyway, I'll leave that as it is. Thanks Skander. Thank you.
Operator: There are no further questions at this time. I'll now hand back to Mr. Malcolm for closing remarks.
John Malcolm: Well, I'll just wrap it up by saying thank you for joining the call. We are working exceptionally hard to turn the growth in the top line around. And I can assure you that management and Board are very, very busy on every single detail to make sure that we can create a more valuable company. Thank you very much.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.